Operator: Good morning ladies and gentlemen. At this time I would like to welcome everyone to Marfrig Alimento S.A. conference call to present and discuss its results for the Third Quarter of 2013. The audio for this conference is being broadcast simultaneously through the Internet in the website www.marfrig.com.br/ir. In that address you can also find the slideshow presentation available for download. We inform that all participants will only be able to listen to the conference during the company’s presentation. After the Company’s remarks are over, there will be a Q&A period. At that time further instructions will be given. (Operator Instructions) Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Marfrig’s management and on information currently available to the company. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties and assumptions, because they relate to future events, and therefore depend on circumstances that may or may not occur in the future. Investors should understand the general economic conditions; industry conditions and other operating factors could also affect to the future results of Marfrig and could cause results to differ materially from those expressed in such forward-looking statement. Now, I will turn the conference over to Mr. Sergio Rial. Please, Mr. Sergio, you may now begin the conference.
Sergio Rial: Well, very good morning I know it’s early for you in U.S. or eventually late in Europe, so thanks for joining our call. I have here with me Ricardo Florence, the Group’s CFO. We’ll be announcing and walking you through our third quarter 2013 then I’ll kindly ask you to go to Page 2. And before we dive into Page 2 space, I’d like to provide the context of the thought process behind this presentation, a couple of things. One, we have utilized first, second and third quarter of 2013 as a date for the market to start capturing trend out of the Marfrig Group that we believe it is more important to start establishing some more recent trends seen. We’re not providing in the last three years pro forma results of the group’s result here. So I think we think at least the last three quarters should be at least a good base to start understanding some of the trends. Second point, we are disclosing Seara Brasil numbers in the release, not in the presentation. I certainly have been asked by a number of shareholders that we should disclose the numbers of Seara Brasil, but if you follow the company you know that Seara Brasil’s numbers were embedded together in the division Seara Foods. So for those who are interested to look at the numbers, you will be able to find the Seara Brasil numbers attached to the release that you have received that we will not debate or discuss Seara numbers on this presentation. Everything you see on the presentation, you’re going to see in the presentation is about Marfrig and it does not in anyway have mentioned to the Seara divestment. So it’s all about Marfrig Alimento assessment. With that I go to Page 2 and I think as you’re going to see the third quarter, there are number of quite interesting and positive signs on the third quarter of the group. First, you’re going to see that the operational performance of the Group has improved while the fundaments of what we’re doing and while we are in the position to control has improved across all businesses. Second, we will see that in depth capacity, cash flow have certainly become positive on what we call operational cash flow, which is the first line before CapEx and you should expand and hopefully we’re going to be able to articulate very clearly the reversal and the trend that we believe have process in generating more consistently cash flow. Third you will see that the debt profile or in other words the liquidity and balance sheet strength of the company have improved really considerably and now you’re going to see it with – related to the divestment that I think we have concluded at the end of September. So in the first on this slide, slide number two, we basically also said the profitability of the beef business would return to a higher level and that’s happened in the third quarter, part of the operational performance improvements as I’d mentioned. We continue to invest a lot of time in group’s balance sheet and hopefully Marfrig Day, eventually in New York, maybe in the fall, details not only to see in a more detailed way what we’re going to execute but also seeing it through the eyes and of voices of different management team. We have set guidance for ourselves both for 2013 and 2014. We believe it is not necessarily very common in Brazil for companies to give guidance that we believe in light of the fundamental change the divestment where we were – we believe that was important to establish wealth management expects to see accomplished in 2014 and we’re certainly happy to revert to that at anytime during the Q&A session. We have reduced the leverage of the company and look in the last 12 months including the capital gain of Seara; we have been able to bring the leverage from the field covenant calculation point of view under three. We’ll talk more about leverage when we address the liquidity and the balance sheet that takes a little long. On Slide 3, we start giving you some of the highlights. The first one is positive operating cash flow of R$236 million reversing the picture of R$427 in the second quarter. Two very important reasons for that, one is better working capital management hopefully we’re going to be able to show you that and the second one is with divestiture that we have concluded we were able to illuminate a number of structural payables that we have, unquestionable payables that we had in our balance sheet that we’re no longer be there. And we will devote more time, so that we truly understand the nature of that payable or the combination of these payables, so that they could do not see it as just as one item or one-off item of the third quarter because it isn’t. Growth on the net revenues across all businesses if you look second quarter 11%, on a consolidated basis if we look last year 16%, these turn Moy Park and Marfrig, these also seeing very solid numbers and Marfrig Beef as a matter of fact quite surprising and its also good moving 10% from second to third quarter, primarily driven out of a much, much bigger volume of exports. We have increased our exports by more than 50% well up versus the second quarter. This is taking, capturing the opportunity of higher prices in dollars and certainly market being opened. We’ll talk more about fourth quarter and what we expect around exporters. EBITDA of R$375 million solid higher than many of analysts have predicted for the group of the third quarter, so we are happy to see analyst recognizing the improvement in the operational performance of the group, letting the third quarter. And I have to say that the third quarter particularly for these with higher scattered prices with increased cost – from labor, through energy, through a number of other inputs. I am pleased to report that the business has asked to improve this performance overall. And a net loss of R$92 million, we’ll explain what the $92 million is and how we go and how we get there. Slide 4, solid revenue growth as mentioned, we – three quarters and increased on benefiting also from their continued growth what we call the key accounts but also Asia and in with that respect the chicken flu in China for doing a bit to the third quarter. We’re not seeing demand to the same levels as we had in the first quarter but a little bit better than what we saw in the second quarter where we saw a dip and Marfrig Beef has mentioned recently. On Slide 5 is an attempt to give you four dimensions about what we are in terms of business, well 50% of our business is as a matter of fact more than 50% of our business is outside of Brazil and growing and 35% in South America, not only the growth of South America, currency the same very, very correlated to the dollar and Euro. And then we try to address the protein side, some people tell they would be divestiture of Seara. We’re a lot more of a beef company than diversified protein company and I think here is just an attempt to show you that primarily and fundamentally oversee we are a chicken business while in South America we are definitely a beef business. So I think that’s in relatively good geographic diversification as well as protein diversification in different spaces. On Slide 6, we now start diving into the financial performance. Worth mentioning the return of the gross profits to a number very close to R$600 million, an important number for us, margin – gross margin back to 12% and as you see it a very clear signal and an improvement in the performance of the group overall. Marfrig Beef here is playing a very important role with more than 50% increase in their fresh beef export volumes and again capturing opportunities and capturing high prices externally, but I think it’s an interesting signal of being able to adapt that and having that executed in such a short period. Gross profit in Keystone is very, very solid, definitely helped by exchange parity when you bring it back to real but not all and then we certainly had increases both in volume but also in average price. Volume has increased 4% in the case of system and very much noted in Asia as mentioned before and by the growth of key accounts in the United States and Asia. Gross profit for Moy Park is 14%. Moy Park is enjoying a phenomenal period. 2013 will be one of the best year; hopefully more to come. We’re seeing in the United Kingdom in particularly what it’s called Europe – while in the last; at least effective by the crisis and the first one is just start showing very significant signs of recovery, particularly consumer confidence. So we’re really well positioned geographically to continue to capture this growth and we’ll talk more about Moy Park later on. On Slide 7, another dimension of operational performance, which is not immaterial which has got something that we control and we are pleased to report that we were able to the third quarter to bring our SG&A when compared to net revenue under 7%. Those two companies bring half numbers and the 7% are going to be striving within this numbers down I think we can in the case it will change from business to business. The Magrif Beef in particular had SG&A expenses reduced by 70 basis points in terms of expenses for 2012 has been remarkable what they have done and particularly having to – taking into account a year in 2013 are higher prices, higher labor costs, higher energy input, higher inputs overall and nevertheless input structure has been optimized. Think that system, system initiated a process of consolidating what is called its head office, originally down to the plants and reducing the over head in a very significant manner. They have actually hired experts to help them to identify cost opportunities over the last 12 months and the results start coming through, which is a part of our agenda to expand our margins. So this year as part of focused to win on our five-year plan, margin expansion trying to get less than to 8% margin level. Moy Park had a very, very strong increase in sales and although this expense is relative to net revenue, are still acceptable, but we are not able at this point in time to show a decline and understand it likely. We go to the EBITDA, important element in metric for performance. Here not only margins have improved across all businesses, these moving to 9% from 7.2% in the second quarter recovering as we mentioned before. Uruguay has also performed better than what we had experienced in the second quarter and we are very hopeful for the fourth quarter. Moy Park and Keystone all moving up to 6.5% or in the mid range of 6% and that’s focusing on their long-term strategy in terms of target for 2018 as explained in the Marfrig. Moy Park expects to work, and Moy Park in terms of EBITDA margins for 2018 is a range between 7.5% and 8.5%, while Keystone is higher than that. So I think we are on a good path to fulfill and to increase Moy Park, in particular Moy Park level by 1% in the years to come. On Slide 9, we start coming to the financial final number, and let me try to walk you through what the number is, so you are seeing the net loss of the last three quarters number R$194 million, if you go through the table, so here you have in the first column you have income or loss, second you have operating tax, the tax impact credit or not and then the last column you have the net income. Now in the case of the third quarter, we have a number R$62 million exchange variation and R$40 million financial expense. The R$102 million here is exclusively related to a piece of debt, of the Seara transaction that has already been transferred, but the cost the financial expense associated with bad debt and the exchange variation second quarter to third quarter related to bad debt remained in our P&L. So we feel this is a non-recurring item for the quarters to come, we felt appropriate to call it out for you to see. The other piece also is – the impact out of that R$92 million, the other impact that brought us to a net loss still was the exchange variation on the fresh beef, on the remaining fresh beef that is optimally owned by us, which also had a sort of an impact of R$90 million approximately. So if the dollar would have changed from second to third quarter, we would have not had a loss would have been the break-even because of the [indiscernible] what foreign exchange markets do anyway, but it’s just to give you materiality that we are on past to break-even in a net basis going forward. On Slide 10, it’s an attempt to give you comparisons to 2012, but for those who want to compare to 2012, we certainly have it and I think its more analysis in the release if we wish to follow. I would like to invite you to move to Slide 11. In here I think we need to spend some time on the liquidity and debt profile of the company again consolidated. The first one is as you can see growth has been reduced since the first quarter of 2013 and coming to a net debt of 6.6% in the third quarter, some analysts, some market analysts were accounting 6.4%, so we are a little bit slightly higher and it can explains what the 6.6% is and why. So let’s first go through the indicators. So the first one is a 2.8 net debt LTM EBITDA in the case of the transaction of divestiture of – we have had a capital gain in this quarter and when we look at the LTM that 2.8 is take into account the capital gains of R$339 million, I repeat R$339 million. Remember, we don’t pay taxes on that capital gain. So between Zenda and Seara the group has had a very significant fees of capital gains. Now, if we want and we should – if we should not consider the capital gains because it is not a recurring item in the quarters to come by just simply projecting third quarter and annualizing it – EBITDA, net debt – EBITDA annualized would be more 4.4. But what I want you to keep in mind is actually our guidance. We have told the markets that we’re going to be looking at EBITDA for next year between R$1.6 billion and R$1.9 billion, again R$1.6 billion to R$1.9 billion, as well as the generation of cash flow continues to be the case as you’re going to see in a couple of months, we should be able to have a more stable debt profile and with a higher EBITDA we’re structuring the company and meet the street range from a leverage standpoint of view. So that’s what we’re going to do pursuing going forward. Important element of current liquidity of two as you can clearly see now will – in a couple of minutes we’re going to talk about the debt profile and you’re going to see that the cash position of the company, free cash position of the company relative to the obligations we have in short-term very, very comfortable. We’ll beat the bar recently in September, some people criticize us for buying durations in September and paying a lot at that point in time and fully recognize some time but those two companies in the single D capital rates can swing but they have 51 months of observation at this point in time with an average cost of 7.8%. Now why have our average cost reduced despite the recent evolve at 11%. There are two reasons. In the very recent path, particularly with the short-term state finance line, we have been able to borrow at between 1% to 1.5% lower levels and – really lower levels and I think we were saying before, point number one. Point number two with the divestiture of Seara, they brought us two important things and certainly expensive, the more immediate debt that we had in our book and we thought it transfers the most expensive gap that we have had in our book. So it’s a combination of standards less costs coupled with all our liability management and our asset management of the debt profile and help the group already in the third quarter to present an average cost of 7.8. This is now what we want to see as a group, this is now what we want to see the company going, but at least that’s an important one. The other piece is 16% or 16.4% of our total debt as we guide in the short-term, just a very, very important component for the company that they have come from a relatively strong delivery period of being a lot more leverage than I think we are at this point in time. So it’s good and we’re confident to see that 84% of our total debt is long-term and it’s actually long-term as you can see. So I will ask you – invite you to go to Slide 12, and hopefully we make this point even clear now looking at the maturity schedule of the group. So here we have in the fourth quarter 2013 R$1.52 billion maturing. I’d ask you to look now at the bottom of that page. So lets now, we are giving you a pro forma fourth quarter of that maturity schedule. So out of the R$1.52 billion approximately the majority of that R$630 million is interest payment on bonds and it’s actually the payment of BNDES convertible bonds. We are paying here 16 months as opposed to 12 months. So in November, we are paying it to-date as we speak. So both bonds have been paid and the BNDES has been paid today as we speak repeating. That R$630 million is the debt from our cash position as of today, using a pro forma and a R$422 million which is fundamentally credit related finance, it’s 100% refinancing. Here you have a combination, you have a combination of just again refinances the third or second quarter 2014 that we also have an important piece, we just closed in export finance lines for three years, refinancing most of this R$422 to three years at LIBOR plus 4.5. So this gives us, as you can see as we basically address our fourth quarter 2013, we have no important repayment schedule until 2017. So the solidity of the schedule of the company has improved substantially and hopefully that is indicated by the cash and equivalent and short-term debt 2.1 times on the right side of that page. Moving to Slide 13, important slide which I will also ask the Group’s CFO to join me in this discussion. We are trying to give you total – absolutely total of the operational cash flow of the Group first, second and third quarter. Third quarter as you can see two things have happened. One, we are paying attention to the working capital management of the Group. We have been seeing that and hopefully you start – it’s difficult to show what we can do in one quarter, but we already can tell you that we have used R$126 million in terms of working capital which is different than what we had used in the prior quarter of almost R$300 million, and that is the combination of better receivables returns, but also better inventory management you can see that in the subsequent slide where we show you a more detailed cash flow analysis. The second and not less important point of this R$236 is a number of payables that will sit in our balance sheet and they were there structurally for the long-haul, we’re pretty much eliminated and the risk of this, I think one is an important piece of the debt with [indiscernible]. The risk of this analysis is that one can see it simply as a non-recurring item going forward. And it’s not necessarily to take, so I would like Ricardo to articulate the better visibility, why this number – it’s actually a number that we are looking forward we should not in anyway move it out of site.
Ricardo Florence dos Santos: The operational cash flow of the company is sort of serving the quarter was R$236 million. What we had in the quarter, it was the currency of what it had to be – to be as a consequence of the transaction that we did in this deal I assume, we decreased the order payables of the company by R$201 million and this is where it is non-recurring, the recurring cost has to be very clear, it is R$236 million. Yes, so I think this is an important, we are paying in the normal amount of time and on this, I mean this is where we and management overall is devoting time, that’s where we start what we call the stability of the debt fees of the company. We cannot de-lever, continue to de-lever the growth if it’s not starting on that line. Let’s move to Slide 14, where we’ve tried to give you a even broader and more detailed analysis of the cash flow, and so here we have – so starting with 194 taking 2062 [ph] and 40 is really cost associated that it’s with us, but associated with a debt that has already been transferred. So that’s not going to repeat again. To get to 92, you see the impact on greater comp receivables on 117 that’s a function of increased sales; we had increased sales and turnover in the third quarter; so some of that negative impact is shown there. Inventories, is no signal of what you are doing in terms of inventories in one given quarter, a positive impact of 25. And there are number of other especially on the 54, but then there is a very important loan which is stacked, which is stressed really historically Marfrig is over stimulated more tax credit that had been able to actually modify. And what you’re seeing for the first time eventually in one given quarter, we have pretty much not created any additional rates to the existing debt position of the company and maybe Ricardo could straight now explain why this time we had been better in optimizing the tax growth that we normally generate. Let me go through the breakdown of what we had in taxes, we basically had an increase in the recoverable taxes of R$34 million much less than what we had in the previous quarters, and you use in the deferred tax assets amounting R$4 million and also decreased in tax payables of R$1.5 million going to the R$28 million that you had in total. Both into a deeper breakdown in the recoverable taxes which as you know is comprised mainly by the take VAT tax [indiscernible] in Brazil we had an increase of R$6.6 million and beef which are the federal VAT taxes. We increased respectively by R$17 million and R$39 million amounting R$62 million in dollars. We have an increase in provision for the non-realization of the taxes of R$33 million and total of R$4 million, given the total of R$34 million, the demand continued in the first half of the breakdown, much more solid than we have in the previous quarters, given us the very good confidence and what is to come. Yes, and I think the other aspect is that the quality of the EBITDA is significantly better related to that; the items inside they are actually a cash metric. So it’s an EBITDA there is the last closure to the true cash generation of the company, necessarily non-cash. So I think it’s also an important signal to be recognized. Now making the transitioning from consolidated numbers, to the business unit numbers, Moy Park like we’ve seen, so we have a phenomenal business very proud of what we are doing in Europe. The retail, particularly the retail space in UK is doing extraordinarily well. We have some very strong sales revenue on the back of the retailers, favoring really sourcing local meat and we are of course extraordinarily well positioned to capture that opportunity. I don’t think this is a transitory trend, I think we’re going to see that certainly going forward in 2014. If you look at 2013, if you look at their sales irrespective of foreign exchange valuation, I mean they are actually moving solid numbers and the margin is also reflecting that trend. So we’ve seen a better sales mix, we’ve seen also higher levels of productivity as most of the plants are being gain at full capacity, absolutely at full capacity. And we have seen Moy Park doing a very good job in positioning the Moy Park brand in Ireland. In Ireland we are certainly one of the most recognized chicken brands in the country. So I think we are proud and I think there is a lot more to come in capitalizing on the Moy Park brands in United Kingdom. On Slide 16, Keystone topped by part of the demand that we have seen disappearing during the second quarter in China on the back of the chicken flu, AI is coming back, avian flu is coming back. So we are seeing better sales in China, we’re seeing higher volume also happening in Key Accounts. So those who haven’t followed Keystone for a long time. Keystone used to be a company 100% down into McDonalds, today Keystone – and we are very proud of the heritage in McDonalds, is an absolutely core customer, while we do that we have certified and moving the outlook of 30% of the companies sale side on businesses. And we’ll target customers also in the food service and some of them growing also at that, some times even faster than the McDonalds system and in some case that will be for their very nature of being eventually more transactional, we are able also to capture higher margin. So it’s a very good mix with predictability, long-term predictability, with a core customer coupled with a group of customers that can also be long-term players. But some can also be more transactional where we can absolutely capture better margins. I think both for Keystone and Moy Park, the Moy Park in particular one should not ignore that they have been able to deliver the performance, this type cost increases in some of the key commodities they operate. Though soybean meal, and meat, Moy Park is totally exposed to wheat not necessarily corn. Keystone has had historically a very prudent and hedging strategy, so they’ve been able to also manage debt. Their grain position is very, very well and of course right now corn on the side as we are experiencing in U.S. probably signified to some degree higher margins and wider margins to come. So I think that we are really, really positive in the capacity of the business to continue to widen their margins with the present scenario to relatively lower grain price when compared to 2012 or even to third quarter of 2013. Marfrig Beef on Slide 17 in the same quarter I mean they have really gone through in 2013 higher cattle prices, cattle prices that increased over 20% when compared to 2012, over 20% when compared to 2012, we had seen labor increases over 10% in many cases, we had seen including the crop, different dimensions with nevertheless the way it present and we are also thinking of very solid margin and solid growth both in sales, but also in profitability. Last but not least on Page 18, we try to give the market the guidance of 2013 the R$11.5 billion for revenue, EBITDA margin of 7.5% which is again purely, purely based on what we do operationally, nothing to do with non-recurring items and when we look at the – if you look into middle of that table, when you look at the column fourth quarter or better maybe when we look at the quarter at the column the third quarter, the column fourth quarter tries to give you what is necessary could you able to fulfill the 100% target for guidance in 2013, so we’re analyzing, we are in the pretty good shape to get where we should get pretty close if not higher than 100% of the guidance given. So in terms of closing remarks, I will have to do as always this is not a story of our quarter, but I would like to remind some of the people, and particularly some of the analyst and in deed that I haven’t asked the question during the yield. One of the things that I think we are going to start seeing change is when people really look at Marfrig they are really using sometimes 100% less, so it has been a concern about the related company. And now Marfrig after divestment of one third of its cash is 50% international, so we don’t think the cost of equity of Keystone and Moy Park should be reflected in the same sort of mode of the South America and being as a much higher commodity nature if you will in both Keystone and Moy Park. So I hope and let you start segment in little bit direct and the cost of equity is one item in that equation for both these results international piece in Brazil and get a better brand what the true value of Marfrig here. Those two companies in Brazil can actually start a business for $3 billion as you have done the main goal. And if you look at the EBITDA numbers of both Keystone and Moy Park and if you look at what your projecting it’s guidance for 2014 we’re talking a business on a combined basis in the north of US$2 billion enterprise value, both businesses are unlevered, so you have right there in international side a $2 billion plus valuation for those part of businesses and for the Marfrig Beef they are comparable in the market for people to basically to come to their numbers. So I think in the case of Keystone I felt sometimes comparisons are not that easy, unless like the Keystone and their possible effect. So the throughput of them is as the market, as the analysts continue to start – we have to discount the Marfrig I think the Marfrig is be able to start seeing the real and more value, for us as management we’ve to pay attention to it, solid performance on all different line. In particular, free cash flow, we had debt – if the trend – if the third quarter trend is to say we’re very comfortable going forward in 2014. I think our guidance was relatively minor loss. We think the free cash flow to break-even, if that trend continues I think probably management is more search of next year to look at it again. We want to make sure that it is the market the assurance of stability and the debt and the stability in growth and the EBITDA with quality. So this quarter gives you higher margin and revenue growth at all levels. I think we hopefully, we have been able to explain the debt profile and how much we have changed doing what we have done since the liability management, but also the positive side effect of having divested $2.8 billion of debt – bank debt and we remain committed to the number we presented to the markets for 2014. And on Slide 20, just final closing remarks, its non-financial but in my view as important which is above the culture and it’s about alignment of management going forward. And the compensation structure of the key executives of the company will be aligned to the strategy focus do in will be aligned to the margins and the expectations I think we have articulated to the market place. But we have also starting using this new symbols and logos for the group not because we’re night – but because they should note a much better alignment across all different businesses towards the goals that I think we have set for ourselves. We’ll integrate that what it makes sense. We’ll be pursuing synergies what it makes sense as articulated in the Marfrig gate, but we also want to see a group that it’s culturally a lot more aligned than I think we had been in the past. We’re adding the word, the Global Foods for any other reasons that we are in 17 countries with plan with people produces stuff, so it’s not 17 sides but 17 operating plants across the globe and I think for Brazilian company group, we are very proud of being able to build and to buy and to continue to grow businesses that have been acquired and more solidly aligned either way. So on slide 21, the name Marfrig Group as I mentioned, global food it’s a clear signal towards our strategic goal of consolidating the group as a food company more necessarily is still important. Today, we are still approaching. We’re going to be evolving over time slowly and delivering but slowly, the new designs reflects definitely on a desire to have a much higher level of cultural alignment and also the way we positioned in the markets as the three names and the Moy Park means we’ll lead our global position, our global brand in many international markets when we will be fairly either chicken or eventually even beef. I think so with that I stop here and I’ll open for questions. Thank you.
Operator: Excuse me ladies and gentlemen we will now begin the question-and-answer session. (Operator Instructions) And our first question comes from Alex Robarts with Citi.
Alex Robarts – Citi Aaron: Hi everyone, thank you. Once you are focused on the Marfrig Beef business when we look in the quarter among the three segments, I mean Marfrig Beef clearly shows the most significant operating leverage on a sequential basis and we think about the gross profit growing in the quarter sequentially 19%, but the adjusted EBITDA 39%, it really seems to come a lot down to the SG&A. Could you focus or help us understand a little bit what was going on with that sequential operating leverage vis-à-vis that SG&A, thinking about this gradual recovery in Uruguay versus the domestic business in Brazil versus the exports. And I guess, the second part of this question relates to how do you see the current environment in the domestic beef business, how is it been going in terms of a pricing, particularly the wholesale pricing and the last question sorry, on exports, we think about the Brazilian export business which for us came in a little bit stronger than we had expected, but when you look at the pricing in dollars right, October according – that that shows a little bit of a sequential improvement over the export dollars and price in the third quarter. In the first day of November even higher and this is different from other pricing, where the dollar price seems to be flatter down. If you could comment a little bit on the evolution and the strength that seemingly strengthening of these export dollar price that would be very helpful? Thanks very much.
Unidentified Company Representative: Thank you, Alex. There is lots of question, but I’ll try. Let me just – so you eventually started by saying a few – to help me understand certain of the leverage, but I think you have seen some leverage in terms of beef, of course I mean in the second quarter we’ve had as we mentioned [indiscernible] posted few significant losses in the back where they were in terms of how the industry would behave, get the numbers and export products, and we certainly go down Argentina to plan. So as we look to the third quarter in Uruguay is in a much better position than I think it was in the second quarter and Uruguay is actually moving towards very positive cycle. Those numbers have been replenished quite considerably over the last call it 18 months, the industry is behaving very, very rationally and it’s thought process are better than they were in the first half of the year. So I can say this cause that Uruguay to discount for 18% of Marfrig Beef business, again for Marfrig Beef business should be a very important contributor in terms of not only enhancing, but supporting high margins for the beef business going forward. Second point, we indicate that third we were very fast and add value we are positioning the business to export from that quarter, partially was related to set of flat prices in Brazil. So as you have seen cattle prices not include in the last call it 6 months, as well as prices domestically haven’t really moved that much certainly not intended with cattle prices. So we are adjusting and adopting our business to the export side was really good and I am pleased to inform the market that one of our critical plans ended up in massive ratio as just being reopened to Russia. So we have another plant opened to Russia, we just got the authorization this morning, so I’m pleased to share with you, we certainly have another positive impact in the fourth quarter numbers of our Marfrig Beef business in Brazil. All that also let us to see [indiscernible] if you are running a commodity business although there is a process to different elements of value added that is fundamentally the core of the business with commodity got to have a very good grip on SG&A, that should not change, we all see growth and sales here and there and of course we have not been able to keep only the declining trend, but we have to keep a very tight grip on the SG&A. So I think there is more to be done in terms of operational leverage in that respect. On the beef operational leverage Alex, is really working capital. So the benefit your are seeing on our circulating cash flow basis and inventory level is coming out of beef, if not really coming out of Keystone and the Moy Park fundamentally, its really coming out beef where it’s the largest working capital user. So that is the biggest operational lever that I think we have at this point in time. Still sort of question for domestic clients, most of the clients have been good. So what we have been doing is building our presence with small retailers and mid size retailers, so we are doing a greater job and I think is segmenting the domestic market much better The head of our logistics is the man who basically been around, the logistic of our, so we are paying attention on the cost of goods sold because you got to pay attention and trying to find a way from the large wholesale, retailers as much as we can, you can avoid them because of the large volumes, but then if you have the export market and if you do a better segmentation on the front end with small to mid size retailers we can absolutely reduce the negative impact normally people would have with the large wholesale.
Alex Robarts – Citi Aaron: Okay, and any comment on the export selling prices, that would be really helpful, it seems to be really strengthening here as we…
Unidentified Company Representative: So I can give you targets, but I think the fact which is very, very strong and I think we are seeing that also with Asia. And the other thing that we will be able to articulate that in 2014, it’s ensuring that particularly we would raise this equity selling more and more for Keystone in Asia. I mean many customers in Keystone are serving today in Asia or it becomes a lot more to exploit these. I’m going to give a very concrete example, KFC has just announced in China that hamburgers as are going to be part of their standard menu, so you need to believe that KFC known for what it is know, but its having hamburgers as part of the standard menu with that comes a very specific demand for beef, which hopefully we should be able to do a better job in connecting our South American supply chain with Keystone from sales office, but maybe Ricardo has also more specific numbers for the export. So Ricardo would you like to comment on this.
Ricardo Florence dos Santos: Exactly, I would like point, you said beef is very stable, the increase in the average price, the exports and the international beef operation. If you see the average price in the third quarter in our beef exports in Argentina and in Uruguay has increase to R$11.5 per dollar compared to R$9.95 which were in the previous quarter, which mean an increase of 15.6% even if you don’t exenterate that you had in this period, you had almost a double digit figure that in percentage terms comparing to the true prices. We mentioned this on the previous quarter that those were the trend that you have seen in Uruguay and in Argentina which is confirmed now and its base for the sales of improvement that we have had in international operations.
Alex Robarts – Citi Aaron: Okay, got it. Thank you very much.
Unidentified Company Representative: Thank you.
Operator: Our next question comes from Alan Alanis with JPMorgan.
Alan Alanis – JPMorgan: Thank you. Good day everyone. Hi. I mean are you want to double check the number of shares that I am doing I mean that being from back of the envelope in terms of trying to estimated fourth quarter results based on the guidance for 2015 and it seems they’re getting some sort of year-over-year contraction in EBITDA margin around the 150 basis points. Is this right or am I doing something wrong I mean in terms of the fourth quarter on a year-over-year basis in terms of EBITDA margins that’s the first question. And the second question that I have is do you have any further debt that which should be transferred relationship to the Brasil Foods asset swap that that you highlight there as part of your operating – of your cash flow for this year, for this quarter?
Unidentified Company Representative: Yeah, thank you Alan. For the second question, no, we don’t have anything; everything is done as far as asset growth. In the case of I think what you have seen is particularly in 2012 and 2011 I think meat margins were between 10% and 13% right. And it probably that’s what you have in some of discrepancy. That doesn’t mean that it can’t go back and especially food comes back in scribes. We had even seen margins we moved right in the peak of the cycle about 14% and so we are naturally comfortable to say that Uruguay cycle and going to a more positive for the environment in 2015 as we given. So that’s what I would explain perhaps the difference when we look at it.
Alan Alanis – JPMorgan: Okay and Uruguay represents slightly lesser than 10% of your revenues, correct now only?
Unidentified Company Representative: Are consolidated for sure, and as far as the strategies 18% yeah there is one additional point that I would like to make that which was a solid and usually this third quarter is still seasonal in Uruguay with lower sales with growth going to the fourth quarter and in the first quarter of the following year, which means this participation could increase in the following quarters.
Alan Alanis – JPMorgan: Got it, and if I may in terms of last question more or so financial question regarding your, really take a look at the financial expense and divided by the total number the total amount of debt, okay and we are not like that we get our numbers. So what else is in there in terms of the net financial expenses?
Unidentified Company Representative: First to follow on the – you should exclude all that answers that was to you in what we paid in the quarter. But at the end of the quarter it was already transferred to JBS I mean you did have these in the balance sheet all the important points that we had reduced as well it has been the average interest and we have in our debt which as I mentioned we used a 7.8% at this point. We had as these results have transferred to JBS from our actions perhaps in the path of our debt and which no longer has those results to be transferred well together with the rest of the debt. You see, let’s goes to [indiscernible] financial expenses that you see there in the interest provisions. We have actually R$322 million in the quarter. If you exclude all this that I mentioned to you, you’d have something around $230 million in the quarter which should be considered the basis of interest that we are provisioning every quarter in our debt. That’s on page 13 of the release.
Alan Alanis – JPMorgan: That’s helpful. I appreciate it.
Ricardo Florence dos Santos: Thanks a lot.
Alan Alanis – JPMorgan: You are welcome.
Operator: Our next question comes from Aaron Holsberg with Santander.
Aaron S. Holsberg – Santander Investment Securities, Inc.: Good morning. My question has to do with the debt ratios. Just I’ve done some calculations and I just to make sure I’m looking at this correctly. Your net debt is R$6.658 billion and your EBITDA guidance for 2014 is a range of 1.6 to 1.9 billion. So that means that the ratio process of the range of net debt ratio for 2014 is 3.5 to 4.16?
Unidentified Company Representative: That’s correct. No, you’re absolutely correct Alan. I mean, we’re not – we don’t want to conclude as a guidance, we’re not giving guidance on the leverage side but that’s what we have said repeatedly. We are a company under four and we’re looking at ourselves to do in the mid range of 3. And that is of course, yes, so that’s correct, you’re right. So you’re seeing the market right.
Aaron S. Holsberg – Santander Investment Securities, Inc.: Okay. To get towards 3, are you expecting to act should we be able to repay that debt or lowering that debt or do you plan to accomplish it entirely by increasing EBITDA?
Unidentified Company Representative: At this point in time, I think we’re focusing that we have seen and third quarter; we’ll be operating performance at this point in time, right. I think over time, we have to see which way is good actually accelerate perhaps way to de-lever the company. We still have high 3 type of leverage, but in the short-term which I think you would see other dimension that that you need to pay attention on the release – as I am sure less on the slide that I’d should 4 and Page 15 of the release is that the company has eliminated and important repayment between now and 2017. So that give us time so well the markets are going to be opened in 2014 or not because of whatever happens with the Fed, we’re today in a position to say okay and we had option. Right meaning we don’t have to do anything to do we say anything in 2013 which just not any material – saying from where we were in the past. And that’s why we though it was very important to show that pro forma fourth quarter through the market. So that people could see how much money it’s being paid to the balance and how much money being paid to PNDF – convertible as a matter of effect, 16 months as opposed 12 and the remaining fees that that rolled over to a medium term profile of both that’s been a…
Aaron S. Holsberg – Santander Investment Securities, Inc.: Okay, one final question. JBS assumes, agreed to assume R$5.8 billion in debt and I guess some receivables, I mean some payables. But Marfrig’s net debit has not decreased by 5.8% but somewhat little less. Is that because of the – what is that because at the next variation or has there been some negative cash flow?
Unidentified Company Representative: Very good question. So just I would just go out to the 5.85 includes to other thing, so that includes bank debt and all the payables. So it’s not more payable, so it’s everything. And the difference that you have a legend you’re absolutely right, but partially it’s explained by not all transfer the most of it, more than 90% of it – it’s bank debt. So there are other payables and the business obligation it’s only one that doesn’t help you – doesn’t help us necessarily on the bank debt stock per se that have had the positive impact like we mentioned around the payables. So you are right, the other piece that explains the difference is exchange valuation from second quarter to the third quarter. This is actually around one numbers R$90 million to R$100.
Aaron S. Holsberg - Santander Investment Securities, Inc.: Thank you.
Unidentified Company Representative: Thank you.
Operator: Our next question comes from Gordon Springall [ph] Maxim Group.
Unidentified Analyst: Hello, my question is for Sergio Rial, basically the real open the year around two and it’s currently 2.3, I believe since you are an exporter and clearly benefits you and going forward the tapering should we expect more volatility in the real given the fact that the select rate has gone up so much and maybe the Brazilian authorities have manage to contain that evaluation going forward?
Sergio Rial: Well its pleasure to have you on the call, I think you are absolutely right I think the market have somehow not fully understood how fast as we are going to be from the operating performance, if the dollar continues to strengthen or the real continues to devalue. It is my belief, but I don’t know we can plan and we can execute the strategy on the back of macro. So we have to work based on some macro assumptions. In the macro assumptions for us is that we are going to be growing through in 2014 a much environment of a stronger dollar on weaker real that will definitely benefit us not only because we export, because we are operating also in 17 countries where we had generating dollars, right. And so I think the company has the benefit of having 50% of its footprint actually outside Brazil between U.S., Europe and Asia and that not only material benefit I mean Ricardo during the Marfrig Day as mentioned that 10% devalue of the real can actually represent trailing to 40 basis points of margin expansion on the EBITDA level for Marfrig. Unfortunately some of them have impact on the debt as well that we believe that the operational – the operating lever with a stronger dollar is much greater than the potential impact on the debt.
Unidentified Analyst: Thank you.
Operator: Our next question comes from [Indiscernible] with UBS.
Unidentified Analyst: Hi good afternoon to all, just a quick question Ricardo you mentioned in the Portuguese call about the BNDES transaction that the debentures, the convertible debentures that’s the total payment for the 16 months was approximately R$230 million to R$250 million. I understand the R$50 regarding to this quarter, that was close to three months and that’s part of it was already incorporated in the previous quarter, how much of that is still less, so that we can, I just want to position the dynamics of the 16 months to 12 months. How can you look at this going forward much of the year?
Ricardo Florence dos Santos: Will tell you that I believe that it is a misunderstanding here. What I said in the Portuguese call it was between R$230 million and R$250 million, the precise figure, it is R$230 million that we are paying as of today.
Unidentified Analyst: Okay so how does that reconcile, you mentioned R$50 million that was relative to this quarter and over three months and how much of that was already incorporated for.
Ricardo Florence dos Santos: One of the analysts posed a question, it was how much of this figure was included in the P&L of the third quarter, and that we could – if we recognize every quarter is around R$50 million, R$55 million depending on [Indiscernible] in Brazil.
Unidentified Analyst: Yes.
Ricardo Florence dos Santos: That’s basically the difference, is the recognition in the quarter and what we are actually staying for the accumulated 16 months.
Unidentified Analyst: Okay, so…
Ricardo Florence dos Santos: Okay.
Unidentified Analyst: And you did it for the 16 months differential.
Ricardo Florence dos Santos: Absolutely right. Absolutely right
Unidentified Analyst: Can you just repeat why 16 was over again, just wanted to clarify that?
Ricardo Florence dos Santos: Clarify for the year, we just – I mean the payment was going to happen in July, like as normally it happens. It’s an annual payment of interest that was really coinciding with the transaction with Seara. We personally tell, as we didn’t know how this transaction would be approved or not in terms of timing. We thought it will be [Indiscernible] to wait and see the evolution to preserve the liquidity of the company will it be on a stronger position in case we would have to support Seara for a longer period. Seara has continued in cash for the group for a number of quarters, and again for those who have basically some times have been critical with me that we never disclose the Seara numbers, the Seara Brazil numbers. We now have the Seara Brazilian numbers in the release. So you can see for yourself why it makes sense to be prudent and not necessarily at that point in time. [Indiscernible] we are very comfortable in doing that and we are so the 16 month year between year-to-date, so we want to make sure that [indiscernible].
Unidentified Analyst: Okay. Thank you.
Operator: Excuse me; this concludes today’s question-and-answer session. I would like to invite Mr. Sergio Rial to proceed with his closing statements. Please go ahead, sir.
Sergio Rial: Okay, thank you very much. I like to ask and first to really thank those who have been supporting the group. And I like to mention in particular there isn’t sure performance of the company. I clearly understand that [indiscernible] we decided to sell its position in the last couple of years, which has been quite a bit of pressure on the share price and those are not management is management is very pleased. But we also understand that particular fund is a lot more from the consumer than necessarily been what we have today. We are committed to grow and we will grow. We are committed to perform and looking at any impossible measure the potential of the group is certainly there and I understand, we haven’t been necessarily [indiscernible] from an equity standpoint of view over the last couple of years we actually acknowledge that and guiding. Everything we are doing each and everyday follow this company. So I just want to make sure that is one of the things we have to do so I want to make sure that I articulate the priorities one it’s simply the strategies you have seen. The second one is to continue to perhaps I’m going to be fair appraisals because the operational leverage that we happen to be really between a much higher performance and better quality performance of our beef business in South America. Second, we have to work on our shareholder base, which only have to deal and create the level of confidence with long-term shareholders that truly, truly understand and that if you will and its national platform to have quite a bit of possibility to grow and to be profitable particularly our agent business and in particular. And certainly, I think that’s the most important thing this quarter end that has to [indiscernible] product. So it ends with a disclosure of the numbers within with what it’s meant and we are going to be looking forward and guided by the guidance and the numbers we have with us has guided for ourself for 2013. So for those who are guidelines, we understand for those who are [indiscernible] we’ll do other thing we can not to give the [indiscernible]. From stock price base, it is what it is but nobody is guiding us and what it’s guiding us that we see enormous amount of value and that can’t be created without Marfrig. I will assume the position of Seara is from January 1st that’s confirmed in the Portuguese version by Marfrig Beef, its part of the plan. As we are importantly, I think that management compensation will be continually aligned to the focused strategy and hopefully in the quarters in 2014 can even be a bit more and it will be more specific around where that comes today. So thank you very much for your support and for listening and for the questions. Okay, thank you very much.
Operator: This concludes our Marfrig’s conference call. Thank you very much for your participation. And have a good day.